Operator: Good afternoon and welcome to the Novatel Wireless Fourth Quarter and Fiscal Year 2014 Conference Call. All participants will be in listen-only mode. [Operator Instructions] With us today are Chief Executive Officer, Alex Mashinsky; President and Chief Operating Officer, Slim Souissi; and Chief Financial Officer, Mike Newman; and Director of Corporate Strategy and Investor Relations, Michael Sklansky. Please note, this event is being recorded. I would now like to turn the conference over to Michael Sklansky. Please go ahead.
Michael Sklansky: Thanks Laura. During this call, non-GAAP financial measures will be discussed. A reconciliation to the most directly comparable GAAP financial measures is included in the earnings release, which is available on the Investor Section of the company's website. An audio replay of this call will also be archived there. Please also be advised, that today's discussion will contain forward-looking statements. These forward-looking statements are not historical facts, but rather are based on the company's current expectations and beliefs. For a discussion on factors that could cause actual results to differ materially from expectations, please refer to the Risk Factors described in our Form 10-K, 10-Q and other SEC filings, which are available on our website. Now I would like to turn the call over to Mike Newman, Chief Financial Officer of Novatel Wireless.
Mike Newman: Thanks Michael and thanks to everyone for joining us on this call on this very exciting day for Novatel Wireless. Today we announced that we met or exceeded all of our guidance metrics for the fourth quarter, returning to profitability and marking a critical first milestone in our new corporate trajectory. We have much higher ambitions than just profitability, so we still have a long road ahead of us to achieve all of our strategic objectives. So with each quarter of improved performance, we take significant strides towards our ultimate goals. Now for the details of our strong fourth quarter. Total revenue in the fourth quarter exceeded the high end of our guidance range, growing at 25% in Q4 compared to Q3, up to $55.4 million. As we anticipated fourth quarter growth was driven by revenue from our mobile computing products, which grew 35% in the fourth quarter to $47.0 million. The launch of MiFi 6620 with Verizon at the end of Q3 was certainly a major contributor to our fourth quarter success, but once again our results also reflected strong continued sales of our MiFi 5510. Revenue from our M2M products was $8.4 million in the fourth quarter as compared to $9.5 million in Q3, down approximately $1.1 million, but with solid gross margins as we continued our transition toward a better mix of high margin products. Non-GAAP gross margins remained strong across all areas of the business in the fourth quarter and neared the midpoint of our guidance range, relatively flat at 23.8% in Q4 compared with 23.9% in Q3. This stability in non-GAAP gross margin resulted in a 25% increase in gross profit in the fourth quarter compared to Q3. Non-GAAP gross margin for mobile computing products was 23.4% in Q4, compared to 23.1% in Q3 and non-GAAP gross margin for M2M products was 26.0% in Q4 compared to 26.6% in Q3. This sustained level of gross margins in the fourth quarter was extremely important to us, particularly as we look back and where we were just six months ago with second quarter non-GAAP gross margin of just 11%. Our second half gross margin performance represents early positive returns from our focus on selling a better mix of higher margin products as well as improving our cost structure. Our operating expenses in the fourth quarter were also in line with our expectations and reflected the completion of our cost rationalization activities in Q3. Non-GAAP operating expenses were relatively flat in the fourth quarter compared to Q3 with Q4 non-GAAP operating expenses of $12.7 million compared to $12.8 million in Q3. As a result of our strong revenue performance and consistent cost structure, our adjusted EBITDA exceeded the high end of our guidance range at positive $1.8 million in Q4 compared to negative $600,000 in the third quarter. I want to take a moment to put this performance in perspective. Remember that in the first half of 2014, our adjusted EBITDA was a combined negative $14.6 million and now in the second half of the year, our adjusted EBITDA improved to a positive $1.2 million. That's a $15.8 million positive swing in H2 compared to H1. Of everything the company accomplished in the first six months of Alex's tenure as CEO, I think this is the most significant. The company already has positive adjusted EBITDA and almost immediately has established the foundation for long-term sustained growth. In the fourth quarter, our non-GAAP net income also exceeded the high end of our guidance range at approximately $300,000 or $0.01 of net income per fully diluted share. This compared to a third quarter non-GAAP net loss of $2.4 million or negative $0.06 per share. When we discuss our non-GAAP P&L, it's important to bear in mind the items where we vary from GAAP, so I'll take a moment to detail them. We exclude some fairly typical restructuring related charges, non-cash items and one-time items. In the fourth quarter, the restructuring related charges netted to approximately $280,000 and consisted principally of exit cost related to our unused facilities, which all now have been bought out or subleased. Therefore, we no longer expect to incur restructuring charges related to facilities. Staying with the cost side of the excluded items, we also excluded share-based compensation expense of $670,000, amortization of intangibles related to 2010 and four acquisition of $220,000, the final payment of $790,000 as a result of the final determination in our shareholder litigation and a non-cash charge of $445,000 associated with a beneficial conversion feature of the convertible preferred stock acquired by HC2 in September, where net preferred stock automatically converted to common stock in November. Lastly, we excluded $5.5 million of accruals related to an all employee retention bonus plan adopted at the beginning of the third quarter as part of the company's turnaround efforts. Let me take a moment on the 2014 employee retention bonus plan. The retention bonus plan is based on the company achieving positive adjusted EBITDA and positive adjusted cash targets for both the fourth quarter of 2014 and the first quarter of 2015. The $5.5 million accrual in Q4 represents 50% of the maximum potential payout if the company again meets these targets in the first quarter, with no bonuses payable at all under the plan, if the company does not achieve Q1. Importantly, if bonuses do become payable, the company can pay up to 70% of any achieved retention bonuses and stock rather than cash. So getting back to our non-GAAP adjustments, in the fourth quarter we also excluded two gains from our non-GAAP results. The first gain we excluded was $1.6 million net cash refund from an escrow account related to historic acquisition net of claims against the escrow account. We also excluded a non-cash gain of $1.5 million associated with the change in fair value of the warrants that we issued to HC2 as part of their investment in the company in early September. The gain was recorded because the company stock price decline from the end of the third quarter to November 17, the date our shareholders approved the ability for HC2 to fully exercise the warrants. As a result of the shareholder approval, we will no longer treat the warrants under liability accounting and therefore in 2015 we will no longer record quarterly gains or losses for the warrants based on quarterly fluctuations on our stock price. I realize I just described number of non-GAAP adjustments for Q4, so I want to note, that we anticipate significantly less noise in our 2015 financials, because we've already worked through most of the transitional items that have been part of our corporate turnarounds. Now onto the balance sheet at year end, we closed the fourth quarter, with cash, cash equivalents and investments of $17.9 million compared to $25.5 million at the beginning of the quarter. The decrease in cash was largely driven by our strategic initiative to increase our inventory to position us to reduce shipping cost and improve gross margins, while also enabling us to more timely meet customer expectations for product deliveries. As a result, we increased our inventory by $9.7 million in Q4, with accounts payables also increasing by $4.7 million. Accounts receivables decreased by $3 million in the fourth quarter, due to more even linearity within the quarter. Recall, that we launched the MiFi® 6620L with Verizon during the last week of September, so in Q3 we had backend loaded sales for that product. Finally, on our share count. Our fully-diluted weighted average shares outstanding increased to 50.1 million shares in Q4, compared to 38.2 million shares in Q3. This increase was principally driven by two factors. First, the shares issued to HC2 in our September financing were outstanding for the full quarter in Q4. Second, our transition to being a non-GAAP net income generating company net that 5 million of potentially diluted warrants and employee grants were now included in our fully diluted share count in Q4. Now, I'd like to briefly discuss our forward-looking guidance. We anticipate continued strength in our mobile computing products, particularly our MiFi® 6620L as it had gained traction -- resulting in a first quarter revenue guidance range of $50 million to $55 million. Coincidently, this total revenue range is the same as our Q4 revenue guidance range, but the mix of that revenue is anticipated to different. Very importantly, we see M2M revenues growing again in the first quarter. We also anticipate a higher margin mix of M2M revenues in the first quarter, based on our launch of the MT 1200 in Q1 and our expectation for strong sales volumes of our SA 2100 and MT 3060 products. This should drive gross margin improvements in the first quarter and we are guiding to first quarter non-GAAP gross margins of 23.5% to 25.5%. On this expense side, now that we restored the company profitability, it’s time to build for growth. We added talent throughout Q4 and we continue to hire in Q1 and we will start to see the increase headcount reflected in our operating expenses. As a result, we anticipate Q1 non-GAAP operating expenses to increase to the $13 million to $14 million range. We expect once again to achieve positive adjusted EBITDA in the first quarter of up to $1 million. We also anticipate Q1 non-GAAP net loss per share of negative $0.03 to even, based on approximately $46 million weighted average shares outstanding for Q1. We closed 2014 on a high note, having returned the company to profitability. This sets the tone for 2015, a year of anticipated growth and transformation, as we continue to leverage the three most valuable assets we have, our innovative technology, our long standing relationships with major partners, and suppliers and customers and most importantly, our dedicated and motivated world class employees. We expect more than 20% growth in mobile computing revenues in 2015 and double-digit organic growth in M2M revenues. As strong as our Q4 results were, they are simply the foundation for our future plans. Now, I'll turn the call over to Alex, to provide more color on the company's transformation and future.
Alex Mashinsky: Thanks Mike and thanks to everybody who is joining us on this call. Let me start by thanking all the nodes of employees. We have employees all over the world and who's done a phenomenal job or tremendous job in the last six months of basically turning around the company and the credit goes to them for all the hard work, both for efforts already achieved and our plans for 2015 and 2016. And I wanted to take this opportunity to share with you my vision and our focus for the -- for fiscal 2015 and 2016. Our goal is to be number one in IoT and know it’s hard for people on the phone to believe that Novatel can grow from last to first, but I think there is a great opportunity in front of us and this team is probably the best team out there to achieve these goals. As you know, I recently joined the company as an Interim CEO and after being here for several months, I really got to know other people, and got to see all energy in the company and I think this is the best team to execute on the vision and the strategy that we have for winning this category. Our plan is to grow faster than the competition and again lead the industry in innovation. So you can ask me so, how we're going to do that? And the answer comes down to two things, we have to be -- to achieve few successful M&As and we have to execute flawlessly on our organic growth. So let's talk little bit about M&A. We've looked at over 100 targets to date and we found several great companies that we are in discussion with and we hope to complete several transactions this year. And when you look at Novatel and our financers, you might not see all the dry powder behind us, but our largest shareholders already committed to participate and fund several acquisitions and we are obviously working with other investors to put some more capital behind us, so we can do additional ones. On the organic growth side, this year will be -- we will be deploying more new products than ever in the history of Novatel's -- Novatel as a company. We've added 22 new employees in Q4 and we're going to add about the same number in Q1. We've added from Microsoft and Qualcomm, from Facebook, from CalAmp and not many other great companies and our ability to attract this kind of talent is a great indication to both the company, the vision and our ability to execute. We also plan to launch new and innovative products and services that have 50 plus percent margins. One example of them, is our LTU app, we spend over $40 million building one of the best LTU apps on the planet. And we now decided to open that up to every company that needs inner certification of testing or help with getting their product up to par with what we mix or our carriers and customers. So we view that as a great opportunity to increase future revenues and future margins for the company. We also plan a revolutionary new product for the second half of this year and I am so excited about it, I can't wait to announce that, I guess, we're going to have to wait for the second half of this year. So all of this diversification is going to help us reduce our largest customer to be below 25% of our revenues and that’s one of our targets. So we, as Mike said, we target into finish 2015 with 20% growth and 30% gross margins. If we achieve that, we will be in the one to be number one in IoT. We plan to do all of these things, while staying profitable and growing faster than anybody else, which again will position us as number one in IoT. If we plan the M&A and we execute on our organic growth, we will exit 2015 with over $400 million in run rate, which will also put us as number one in IoT if you're looking at our ongoing growth and projections for 2016. So, I invite you to watch us closely and have weekly announcements of new customers and new products. We had a dozen of them in the last quarter and I hope that you were excited as I am about Novatel and our prospects and let's open it up for questions.
Operator: Thank you. We will begin the question-and-answer session. [Operator Instructions] And our first question will come from Sid Sinha of Canaccord Genuity.
Siddharth Sinha: Great. Thanks, for taking my questions. And congratulations on the results and profitability, great job and quick turnaround with the business. Just a quick one on the M2M business to begin with, the sales have been soft in the second half of this year versus the first half and even your expectations for double-digit organic growth, it seems like there has to be pretty aggressive growth of these levels through the rest of this calendar year. So my question is I guess, what's driving the strong expectations, is it based on deals already won or do you need to win a portion of your pipeline for this to materialize?
Alex Mashinsky: Yeah I think jumping on that, we do have a great pipeline of orders and on many of these we’re waiting for our customers to either finish their testing or integration or deployment. Some of these are also category wins with major carriers that I think we announced before and we’re just deploying -- waiting for deployment. So we’re very confident with our numbers. And yes, I would have loved to see more sales in Q4, but I think you’re going to see all that coming in '15.
Siddharth Sinha: Okay, great and again for the mobile computing has been pretty solid growth expectations. Is this again just based on the deals already won? You're already working that carriers and have orders in place or is it something that needs to be -- you have to go out and win additional carriers for this to happen I guess?
Alex Mashinsky: Yes, most of our projections are based on stuff we already have in-house, all the things I talked about like this exciting new products that we’re going to launch in the second half and other things are all we’re budgeting that at zero right now.
Mike Newman: But the deals themselves of course the sooner they are in the year, we got a higher percentage of them booked and the later they are in the year, we still have wanted to do it again but we've got -- we’ve got visibility into what we need to do to get that 20% growth.
Siddharth Sinha: Okay, great and then just staying on mobile computing, the business has been characterized by customer concentration with channel fills of these key customers driving strong seasonality in the business, giving your strong guidance and based on your current visibility, you think the seasonality could perhaps be less pronounced this year or do you think, you should expect that pretty strong back half of the year?
Alex Mashinsky: All right, there is always some seasonality in that side of the business, even when you look at our revenue guidance range for Q1 as compared to what we just did in Q4 and you see seasonality element of that. As we look across 2015, we expect it to be a little different than what we saw here in the back half of 2014. In the back half of 2014 our objective was to push the MiFi business mobile computing business to where we thought needed to be to establish that profitable foundation to then go pursue the IoT side, which we already have been working on to start longer sales cycles and we got a number of product initiatives. But from a seasonality standpoint, we would -- I would say we expect to see normal seasonality over the course of the year even while we’re pushing growth to the levels that we’re describing. It should be spread fairly evenly across the year.
Siddharth Sinha: Okay, thanks and then just one last for me and I’ll get back in the queue. Just on the 30% gross margin target existing calendar '15. I know based on your current gross margin levels for the two businesses, how should we think about getting to the 30% if the MiFi improves incrementally and then the bulk of the improvement comes from the M2M business, is that the right way to think about it?
Alex Mashinsky: Well when we talk about exiting the year at 30% remember that we were planning on pushing growth on the IoT side this year, double-digit organically as well as doing M&A activity. So as we get to the end of the year and we’re starting to close out the end of the year, IoT will represent a much more significant portion of our overall business. So in the end, it’s going to be a combination of strong margins on both sides, but IoT margins will be higher than mobile computing margins and -- but it won’t be -- it will be more evenly weighted as well.
Siddharth Sinha: Okay. Got you. And just if I can squeeze just one last one. I think Alex shared a metric about exiting the year at $400 million plus run rate if I heard correct that includes inorganic growth right or is it…
Alex Mashinsky: Yeah, it includes several acquisitions yes.
Siddharth Sinha: Okay. Thanks. I’ll get back in queue.
Operator: And the next question comes from Bryan Prohm of Cowen & Company.
Bryan Prohm: Hey good afternoon. Congratulations on another good quarter gentlemen.
Alex Mashinsky: Thank you.
Bryan Prohm: Hey, I’m just going to follow-up on a lot of the questions that have already been asked because there’s a lot of it is had been count out, so just following up on the revenue run rate exiting the year, at what point does mobile computing peak over the course of '15 on a quarterly basis as a percent of revenue? Is that something that's mid-year as intent ramps up by the time we get to year end it’s clearly decreasing as a percent of revenue?
Mike Newman: So yeah I think that mobile computing as a percent of revenue is definitely going to be higher in the year and lower late in the year. As we -- once we start -- the M&A activity is going to be largely on that M2M side. And so it’s going to start diversifying our revenue stream away from mobile computing. So I think you should look at mobile computing revenues as being relatively steady over the course of the year, perhaps of the normal seasonality patter with IoT growing above normal seasonality patterns organically and then again inorganically as well.
Bryan Prohm: All right, so it’s that run rate, great thanks for the clarification. On the 20% year-over-year growth target in mobile computing products, just sort of following on that, is most of that growth coming in the first half and that product that Alex alluded to, is that in the guidance or not? I’m sorry, I didn’t quite catch that part?
Alex Mashinsky: Okay. So there’s two questions there. The first question in terms of how the mobile computing growth gets spread over the year, obviously we just came off of a very good Q4 and particularly good on the mobile computing side in the fourth quarter. So I think you should look at growth in mobile computing as being more pronounced in the first three quarters of the year as compared to the fourth even with normal seasonality growth in the fourth quarter, because when you look at a products specific basis, that’s going to be tougher comp in Q4 of next year. In terms of the new products that Alex was talking about both early in the year and late in the year, they’re all included in our guidance. They are all -- we do sort of, I would say what you’re supposed to do, which is they’re included in our guidance and weighted in various ways. The near-term the product launch is, the more tangible it is, the more comfortable we are with revenue expectations for it. The later in the year, the more that can change between now and when you get there and we of course plan for that launch and we plan for revenues from it. Similarly we have all the cost baked into our plans over the course of the year as well. So I don’t think you shouldn’t read into the comments about new products as a whole lot of upside on top of what we said rather than things are sort of appropriately and reasonably baked into the guidance ranges that we give.
Bryan Prohm: Understood, and I’m sorry Alex, pardon me.
Alex Mashinsky: Just wanted to add to that, so on the MiFi side, we now have several major carrier wins that we’ll be announcing in the next few months. And most of those are shipping towards end of the second quarter and into the third quarter. So that’s part of what -- what’s going to drive the growth on the MiFi side.
Bryan Prohm: All right. That was one of my next questions. So that you've referred to a Tier 1 international operator that’s eminent, but it doesn’t sound like it’s in Q1 guidance based on when I just heard you guys say?
Mike Newman: That’s correct. We would love to announce it but there we’re waiting for their launch. So the minute they launch, you will hear about it.
Bryan Prohm: Understand. So it sounds like it’s a fairly long tail here with LTA with 50 carriers live around the world now on the 620 in. The renaissance of that product cycle or the product line mobile computing line up with this broadcast has been pretty interesting to watch that’s good work. Last question from me, how good is the transition in M2M from the 3G to 3G 4G chipset, is that essentially complete now and we should start to see that playing through the P&L from the results in Q1 with the revenue outlook and maybe the margin profile over the course of quarter through '15. Thanks.
Slim Souissi: Yeah this is Slim. So we’re in the middle of that transition. I expect it to be completed by mid Q3 end of Q3 and we continue shipping the previous generation chipset for most of our customers as we integrate the new chipset and getting the approvals -- the service approvals with those customers. So we expect to get those approvals by the end of this quarter possibly mid next quarter and then we’ll be in full shipment in Q3.
Bryan Prohm: All right, great that’s all my questions. Thanks for taking my questions, thanks guys.
Operator: And our next question will come from Kevin Dede of H.C. Wainwright.
Kevin Dede: Good afternoon gentlemen. Let me add my congratulation on a nice job in the quarter gentlemen. Okay. First one for you Mike can you give us little detail on inventory? You mentioned some expectations for the MG1200 and if I have these product names correctly, the ASH21, and the MP36, what gives you the confidence that you'll sell through here?
Mike Newman: So those are two different comments. One is you sort of generally alluded to the inventory and the other is our confidence in those products. The inventory, when we talk about building up inventory, we’re building up inventory into a portion where we expect the sales to be coming from. So obviously right now, a lot of the inventories that I talk about to meet customer demands to reduce shipping cost and those sorts of things are going to be on the mobile computing side as opposed to the M2M side with those specific products. In terms of what gives us confidence in those products, Alex you're probably better suited to answer that question than myself.
Slim Souissi: Yes, certainly Kevin, thank you for the question. So most of these products, the ones you mentioned are replacement project, next generation products for existing products with existing customers and new customers. So we’re in the middle of integrating those products in our customer services platform. Some of them had started shipping. Some are still going through the integration process. So we expect them to be a continuation of an existing business from legacy products and also new business one with new customers.
Alex Mashinsky: Kevin, so just to add to this, again everything we're doing in-house is positioned to make us number one IoT. So number one in IoT means that we ship faster than anyone else, we've the best warranty than anyone else. It means that we have the lowest failure rate than anything else and I think we’re already there with several categories, but we’re improving on every aspect of every product that we make. And to get there, we had to make tremendous amount of internal changes and processes and manufacturing and inventory and everything else. To be able to deliver amazing experiences to our customers and you start seeing that in our ability to scale and our ability to execute and outperform all of our competitors.
Kevin Dede: Okay. Mike, thanks for the extra detail on and you too Alex for the -- on the MiFi product and the additional carrier wins and that’s always been a big question for Novatel right because there has been sales, strong sales growth in mobile computing when your large national carrier ramps up with a new product cycle and then obviously just tends to fall away. So I guess basically what I've heard so far is that based on wins that you have, you’re building inventory in anticipation shipping to customers that you won in mobile computing and that’s the basis for what you said Mike on seeing pretty good comp on year-over-year in mobile computing for the first three quarters and then obviously more difficult one in the fourth quarter, is that the best way to look at it?
Mike Newman: Yeah, that was well put. When we look at the build up of the inventory, it's not something that we perceive as something that we stand great risk of getting stuck with or anything like that, this is inventory that we see the sell through. We know it's there. It's really just a matter of optimizing how we handle supply and operations.
Alex Mashinsky: Let me add to that. I think its in the first half of, I’d say for the last three years in the first half of '14, the company was in shrinking mode and we actually pull out distribution and relationship with different MVNOs and other customers because of our idea of reasons. We’re now in growth mode. So we're signing up new accounts. We’re opening new distribution channels and that includes as we mentioned on the last call in Europe and Middle East and South America and other places. So a lot of this is additional distribution, additional skews that go into new markets and new partners that we’ve not worked with either in years or ever before. And again, you can go through the last dozen announcements that we've made. You’ll see a lot of great names in there and you’ll see one or two weeks coming out of the Novatel and I bet you're going to be surprised at some of the names you see there.
Kevin Dede: Well, there is on that I hope you, you can address little later in my next question or question after this one. Just drilling in on mobile computing at least through the fourth quarter and what you’re seeing so far this year, can you talk to the order trends? Can you give us an indication of this strength of demand at least in North America for the 6620 and where you think it can go?
Mike Newman: Well, again I think you're viewing it as a cycle that one product dies and the second product takes off and then it dies and then next product takes off and that’s how -- that’s the history of Novatel. The future of Novatel is that when a carrier or anyone else moves from one product to the next, we continued to sell the other product, the older product in this case that 5510 for example is selling extremely well in new channels. We’re opening new channels for the 5510 every week. So what you’re seeing now is increments of one product building on top of another product and we’re adding skews and we're adding certifications and we're adding new markets right. And as the borrowing on all these products get cheaper and cheaper, we actually get to enter with the same product into new markets that we couldn’t do before. So we also have more slots. I mentioned on our last quarterly call, we have more slots now with our top customers than ever before and we haven’t even started shipping all those slots. So as we start shipping all the slots, you have more diversification inside each customer not just diversification of customers.
Kevin Dede: Great, okay. On the -- it was pretty clear that one of your recent announcements, I think early February you said product that looks to me it's going to end up at a major I guess distribution for a major beer company and I was just wondering if you could shed, share any more detail on how you see that evolving? How you won that and what else it might lead to and I think that was through Sprint.
Alex Mashinsky: So, we have direct products and we have wins, where we are either the module or the reference design or a box inside a solution and in this case, I think we are module inside the solution. We’re not selling the entire solution that different vars that actually deliver the solution to this for that customer. So the point there was more to indicate that we continue to win reference designs and module designs with different customers then to tell you that, that specific customer is going to change our balance sheet or is going to grow revenues by 20% plus right. And the biggest drivers right now of our business are till our core products that we make for the major carriers right and we’re now supplementing it with many other things. Whether it's going to take a year or two before all of these other products kind of pass the 50% mark as Mike indicated before and we need several acquisitions to help us get there. The key message here is where we plan to exit '15 and go into '16 with a broader set of products that anyone has in IoT and I hear a lot of messages, a lot of questions from the different analysts, but everyone is just focused on the next quarter. I think you have to put in perspective our strategy and our ability to execute on the strategy while keeping the company profitable and I think that’s the key message out of this call is if we can execute on that, then everyone else that you’re looking at who you think is a leader in this industry, you have to measure how we’re performing against them and that’s what we do every day and frankly I think we have a much better vision and much better strategy.
Kevin Dede: Okay, fair Alex. Thank you for the additional color. I guess I’m still little curious about the retention bonus, you seem to make it clear that it was for 4Q and for 1Q going forward, is there anything planned beyond that?
Mike Newman: No, this was a onetime retention bonus plan that Alex put in place, very shortly after he joined the company to keep the people here, who are now executing against the planned addition so effectively, So it's worked, but there won't -- other than this plan, which was to keep people in their seats after what was going on in the first half of the year we’ll have our normal compensation programs going forward. This is a onetime thing.
Kevin Dede: Okay. Fair enough. It seems to me too, it seem to be directed more toward your R&D people, is that true.
Mike Newman: Its spread evenly -- well, it's spread evenly throughout the company on sort of a per employee basis, but when you look at our headcount in different areas, it is the case that little over $3 million of that $5.5 million is directed over R&D.
Kevin Dede: Okay. Yes, I am sorry. Okay. That's enough. I don't really need to hear anymore on that. That's a general trend. I am more curious about how -- I know it's important and certainly competitive differentiator given the close work that you've done with Qualcomm. I am just kind of curious when you -- given some of the products you talked about today and your overall strategy, how do you see the mobile computing product refresh cycle evolving?
Mike Newman: So first let me say that Qualcomm is probably one of our best partners. It's like a continuous flow of oxygen and we're surrounded by Qualcomm building. So we're very lucky to be positioned and be such a close partner of Qualcomm and have early access to both product and software and opportunities that Qualcomm has. As you know, they're doubling down on IoT now, they're refocusing on that and we hope to leverage that and leverage our relationship to help us position Novatel as the key solution provider with Qualcomm. We are planning to issue products with their CAP9 solutions. We plan to add other solutions and integrate their snapdragon and other families of products. So basically offer a variety of solution around the different families of products that Qualcomm has and I can't say enough good things about Qualcomm.
Kevin Dede: Great, okay. Thank you for the color gentlemen and thanks for taking the questions. Congrats again and nice job.
Alex Mashinsky: Thanks Kevin.
Operator: [Operator Instructions] Our next question will come from Cobb Sadler of Catamount Advisors.
Cobb Sadler: Hey thanks guys for taking the question and allow me to follow on with congrats on the turnaround. I've been watching the space for 15 years and that's a tough scene that happened, so congrats there on the split. Can you give us a rough split on the 5510 versus the 6620 in the quarter? Are you guys breaking that out?
Mike Newman: No, we don't break that out. As you think about it, the trends assuming we're successful in what we're doing is we're keeping the 5510 as long -- alive as long as we can, but the 6620 is the future of our product in the product space.
Cobb Sadler: Okay. Got it. And then the international market, so U.S. is obviously more developed and developed more quickly for LTEs and in the rest of the world, do you got a lot of carriers, 50 plus carriers with LTE capability now. How is that market shaping up because traditionally for the company, one thing or another, they didn't really pursue the international market? So how is that shaping up? Who shows up? Is the pricing tough? Are you talking more about undeveloped markets like India, just a little color there?
Alex Mashinsky: Clearly, I think you have to look at the MiFi family as more than just the hotspot right. There is MiFi car and MiFi home and we've a variety of products that are either already shaped or being put together that address different markets that have unique engineering challenges and if it's a coverage issue, or it's a pricing issue, or it's a data plan issue. So we're working with partners all over the world to solve specific issues that address specific markets and how do you solve a roaming issue for a car that drives over four or five borders in Europe every day, right? So things like that, that no one has solved yet. So we're excited about a lot of these opportunities. We think we're the front edge of both the technology, the solutions that we have, the ability to go and know on the door here at Qualcomm and ask them for far more change or anything else we need and be able to deliver these things to market faster and with a better engineering solution than anyone else. So we don't necessarily compete on the plain Vanilla MiFi. Even though the winning -- we're winning very well there, but what we're trying to say here is that most of our new wins are adding to our gross margin and they're adding to our growth and you can only achieve that by selling higher value solutions to more and more customers.
Cobb Sadler: Okay. Got it. I look forward to hearing about the product in the second half and I am assuming that's more -- that's an M2M type of product or excuse me, a MiFi type of product or is an Indian product for the second half?
Alex Mashinsky: Well, it's a great question. The way we define IoT, IoT covers both what we call the MiFi home and the MiFi car as well as all the industrial application, the telemetry, the telematics, the security stuff. So again I don't see the clear separation between what you call mobile computing and our IoT or M2M products. We see everything falling under one IoT umbrella with many of the same customers using products from both sides.
Cobb Sadler: Okay. Got it. And the double-digit IoT growth, what -- it sounds like you're spread across most of the verticals or like to say couple of the top verticals that you are going to apply to growth that rate, the UBI, where are you -- where are the deals that you won that are going to allow you to put up double -- I mean slightly north of 10% or maybe even mid double-digit growth?
Alex Mashinsky: Most of the IoT growth actually is spread across the verticals we address. UBI is definitely one of the major verticals we have. There are multiple launches happening either this quarter of next quarter as we finish the integration of the MT 3060 into the service platform of the UBI companies. We also -- Mike touched on the MT 1200, which has several customers going through integration and that one also will have double-digit growth, plus the SA 2100, which is one of the leading products into telemetry and the connected car market. So I would say these three major products all will see growth that's consistent with our expectation for this year.
Cobb Sadler: Okay. Great. Good to hear and then, the last question is on the patent scenario, the patent outlook, I guess you had a Markman hearing not too long ago, any clarity there or is it still TBD or how do you feel about that?
Alex Mashinsky: So I believe you're speaking to the litigation with Franklin and GTE and we feel very good about that. The Markman hearing from our perspective was a very successful outcome. These things are -- you read the rulings and they're very complex, but the assessments from the way we wanted them to be, at this point we're, the way we're proceeding with the litigation is reflected in our spend, is they were proceeding with the litigation in a fashion where we're keeping it and keeping off of our operating expenses. We've signed the patent and the case to somebody who is proceeding with it in sort of -- we'll get our share of the proceeds, but that allows us to get the upside of the litigation without the ongoing expense management, but overall we feel very good about that litigation.
Cobb Sadler: That's good to hear and then I had one more question, still on the -- to growing the IoT business and obviously you mentioned that you're going to be doing some deals and can you talk about -- will those deals be first half weighted or second half weighted, do you know -- do you have some in the bag or do you have just a big pool where you feel confident in several and you just kind of wait and pick the best lot I guess.
Alex Mashinsky: So on those transactions we do have our toe in a lot of ponds right now. I don't anticipate -- you shouldn’t anticipate that they're more weighted frankly in any particular part of the year. It's a strategy that we're embarking on over the course of the year and we do anticipate multiple M&A and when they come in and the size and shape of each one might vary. But we're not looking at font end weighted and backend weighted. It's going to be sort of a constant effort on our part throughout the year.
Cobb Sadler: Sounds good. Well great job and thanks very much.
Alex Mashinsky: Thanks.
Operator: And this concludes our question-and-answer session. To access the digital replay of this conference, you may dial 1-877-344-7529 or 1-412-317-0088 beginning one hour after the end of the call today. You will be prompted to enter a conference number, which will be 10059616. Please record your name and company when joining. The conference is now concluded. Thank you for attending today’s presentation. You may now disconnect.